Operator: Good day, and thank you for standing by. Welcome to the Q2 2022 Midland States Bancorp, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. And I would now like to hand the conference over to your speaker today, Mr. Tony Rossi of Financial Profiles. Mr. Rossi, please go ahead.
Tony Rossi: Thank you, Chris. Good morning, everyone, and thank you for joining us today for the Midland States Bancorp second quarter 2022 earnings call. Joining us from Midland's management team are Jeff Ludwig, President and Chief Executive Officer; and Eric Lemke, Chief Financial Officer. We will be using a slide presentation as part of our discussion this morning. If you have not done so already, please visit the Webcasts and Presentations page of Midland's Investor Relations website to download a copy of the presentation. Before we begin, I'd like to remind you that this conference call contains forward-looking statements with respect to the future performance and financial condition of Midland States Bancorp that involve risks and uncertainties. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in the company's SEC filings, which are available on the company's website. The company disclaims any obligation to update any forward-looking statements made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP to non-GAAP measures. And with that, I'd like to turn the call over to Jeff. Jeff?
Jeff Ludwig: Good morning, everyone. Welcome to the Midland States earnings call. I'm going to start on Slide 3 with the highlights of the second quarter. Despite an increasingly challenging operating environment, we continue to generate improvement in our financial performance as a result of the strategic initiatives we have implemented over the past few years to strengthen our commercial and retail banking teams, increase our focus on higher-growth markets and improve operational efficiencies. Our strong execution on these strategies produced another strong quarter of very strong loan growth, additional expansion in our net interest margin and greater operating leverage. This resulted in a stronger quarter with net income of $21.9 million or $0.97 per share, pretax pre-provision earnings of $35.9 million and increases in our ROA, ROE and ROTCE relative to the prior quarter as we continue to generate a higher level of performance. The most significant driver of our improved performance is the higher level of productivity we are seeing from our commercial banking teams. Our teams are doing an outstanding job of developing new commercial relationships, and our strong loan production resulted in 18% annualized growth in total loans. Our commercial banking teams are focused on relationship lending within our markets across a variety of loan types. And as a result, total loans within our community banking markets were up $192 million. We continue to see a higher level of growth in St. Louis as a result of our increased focus on this market. Total loans in the St. Louis market were up 11% from the prior quarter and have increased 23% over the past six months. Our St. Louis team is also doing a very good job of developing more commercial deposit relationships, which has resulted in our deposits in the St. Louis market increasing 19% over the past six months. The strong loan growth we are seeing is helping us to drive positive trends in a number of key metrics. Our net interest margin increased 15 basis points in the second quarter on top of the 25 basis point increase in the first quarter as the strong growth in loans resulted in a favorable shift in earning assets, while we also benefited from higher rates on new loan originations. The higher revenue we are seeing from the loan growth and margin expansion is also helping us to realize more operating leverage as we effectively manage our expense levels. This resulted in an improvement in our efficiency ratio to 53.1% from 55.7% in the prior quarter. In addition to our strong organic growth, we also completed our branch purchase transaction with FNBC Bank & Trust late in the second quarter. We are very pleased to be able to execute on this transaction that perfectly fits our acquisition criteria at the current time. It's low risk and easily digestible so it won't distract the organization and disrupt the strong execution we are seeing on our growth and efficiency improvement strategies. It's immediately accretive to earnings and provides a meaningful amount of low-cost deposits that we can use to fund our strong loan growth. And from a strategic perspective, the addition of a branch in Mokena provides another physical presence in the Greater Chicagoland area that will support the increased business development efforts we have in this higher growth market. It's the ideal type of small tuck-in deal that nicely complements the strong organic growth that we are generating without presenting any execution or integration risk. At this point, I'm going to turn the call over to Eric to provide some additional details around our second quarter performance. Eric?
Eric Lemke: Thanks, Jeff, and again, good morning, everyone. I'm starting on Slide 4, and we'll take a look at our loan portfolio. Our total loans increased $256 million from the end of the prior quarter. The strongest growth came in the commercial real estate portfolio, which increased 10% during the second quarter. We also had small increases across most of our other portfolios, which were partially offset by declines in commercial FHA warehouse credit lines and the continued forgiveness of PPP loans. During the second quarter, we began to originate loans through our new fintech partnership with LendingPoint, which accounted for the growth we had in the consumer loan portfolio. Turning now to Slide 5. We'll look at our deposits. Total deposits increased $127 million from the end of the prior quarter, a portion of which was attributable to the FNBC branch acquisition that Jeff previously discussed. We had an increase in noninterest-bearing deposits and all of our lower-cost interest-bearing deposits, while our time deposits were essentially unchanged during the period. Our commercial banking and treasury management teams are doing a good job of developing new commercial deposit relationships that are providing a steady inflow of lower-cost deposits to fund our strong loan growth. Turning now to Slide 6. We'll walk through the trends in our net interest income and margin. Our net interest income increased 7.9% from the prior quarter primarily due to the higher average loan balances and the increase in our net interest margin. We brought down our average cash balances by $158 million and our investment securities portfolio by $76 million from the end of the prior quarter with those funds redeployed into the loan portfolio to support our strong loan growth. This favorable shift in our mix of earning assets as well as higher average rates on cash, investment securities and loans helped drive a 15 basis point increase in our net interest margin. As interest rates increase, we're seeing improvement in new loan pricing, which is also positively impacting our net interest margin. In the month of June, the average rate on our new and renewed loans was 4.79%, an increase of 69 basis points from the month of March. In particular, we are seeing significantly higher rates on commercial loans, which includes our Midland Equipment Financing. Turning to Slide 7. We'll look at trends in our wealth management business. Our assets under administration decreased by $446 million from the end of the prior quarter primarily due to market performance. The decrease in assets under administration resulted in lower wealth management revenue in the second quarter. On Slide 8, we'll review our noninterest income. We had $14.6 million in noninterest income in the second quarter, a decrease of 6.4% from the prior quarter. The decrease was primarily due to the lower wealth management revenue, which offset increases in deposit service charges and interchange revenue resulting from the growth in our client base. Now turning to Slide 9, and we'll review our noninterest expense. On an adjusted basis, excluding integration and acquisition expenses, our noninterest expense was up slightly from the prior quarter primarily due to higher salaries and benefits expense resulting from a modest increase in staffing levels and higher incentive compensation. With the completion of the FNBC branch acquisition, we'll have a slight increase in expenses in the third quarter, but they should remain within the range of $41 million to $42 million that we have previously guided for a run rate in 2022. As we have done over the past couple of years, we continue to have opportunities to renegotiate vendor contracts to help us generate cost savings to offset the increases we are seeing in labor costs and the investments we're making in various initiatives to grow and further diversify the company. We're also continuing to leverage our technology investments to drive more automation throughout the organization in order to further improve efficiencies and control expenses. Turning now to Slide 10. We'll look at our asset quality trends. Our nonperforming loans increased $4 million from the end of the prior quarter, which was attributable to one commercial real estate loan where no loss is currently expected. Outside of this one credit, trends in the portfolio were generally favorable with continued upgrades of watch-list loans as more borrowers demonstrate sustained performance with the impact of the pandemic declining. While there is broader concern about how inflation and higher interest rates will impact customers through June 30, the delinquency rate in our consumer portfolio remains exceptionally low and has actually declined a bit since the beginning of the year. And should any deterioration begin to occur, we have approximately $39 million in an escrow account that is available to cover any losses on the GreenSky portfolio. We had $2.8 million in charge-offs in the quarter or 20 basis points of average loans, and we recorded a provision for credit losses on loans of $4.7 million, which was largely related to the growth in total loans and changes in our economic forecast. Now on Slide 11, we show the components of a change in our allowance for credit losses from the end of the prior quarter. Our allowance for credit losses increased by approximately $2 million. This increase was driven by the growth in total loans, changes in the mix of the portfolio and changes in forecasts from weakening economic conditions. On Slide 12, we show our ACL broken out by portfolio. While our overall coverage ratio remained relatively stable, we increased coverage a bit within the commercial portfolio, primarily due to changes in economic variables and forecast. And with that, I will turn the call back over to Jeff. Jeff?
Jeff Ludwig: All right. Thanks, Eric. We'll wrap up on Slide 13 with some comments on our outlook. Although the operating environment will continue to be challenging, we expect most of the positive trends we have seen in the first half of the year to continue over the rest of 2022. Our loan pipeline remains strong, particularly in equipment finance, but smaller than it was at the start of the second quarter. We still expect to see growth in our loan portfolio over the second half of the year, but not at the same level that we have had in the first half given the smaller loan pipeline and the likelihood that higher rates and concern about weakening economic conditions will start to have a greater impact on loan demand. But with continued loan growth and further expansion in our net interest margin as we benefit from our asset sensitivity, we should continue to see higher levels of revenue, more operating leverage and further increases in pretax pre-provision earnings and returns during the second half of the year. As we mentioned on our call last quarter, while we continue to improve our near-term financial performance, we are also making good progress on long-term initiatives to enhance the value of the Midland franchise. One of the initiatives is the Banking-as-a-Service strategy that we discussed last quarter, and we expect to add fintech partnerships over the second half of the year, which will put us in a position to see this initiative start to become a contributor to our financial performance in 2023. Another initiative is to accelerate growth in our wealth management business. We recently hired a new Head of Wealth Management, Jayne Hladio who has held several senior wealth positions at a number of large financial institutions. And she will be leading our efforts in this area. As you know, we have made a number of wealth management acquisitions over the past several years, in which we have added expertise in new areas, and we have the opportunity to increase revenue by adding financial advisers and enhancing our cross-selling within our client base. So improving our cross-selling will be a key focus now as well as recruiting more talent and enhancing our overall business development capabilities. It will take some time for these efforts to gain traction, but we feel very good about the leadership and strategies in place, and we believe that over the long-term we will increase our organic growth rate in this business. Through the first six months of the year, we have executed very well and delivered strong results for our shareholders. Our return on average assets was 1.19% in the second quarter, and pretax pre-provision income increased to 33% over the second quarter of 2021. In addition, we are delivering strong returns on average tangible common equity with a 19% return in the second quarter. Strong earnings performance will allow us to continue to grow our franchise and build capital as growth slows towards the back half of the year. On our last earnings call, we mentioned that we would be evaluating other options to strengthen our capital ratios to support the continued growth of our franchise, and evaluating these options will continue to be a priority for the company as we are highly focused on making capital management decisions that are in the best long-term interest of our shareholders. We believe this franchise we have built is well positioned to drive strong profitable growth when economic conditions are favorable while effectively managing credit and interest rate risk so that we can preserve shareholder value and continue to deliver solid results when economic conditions deteriorate. With that, we'll be happy to answer any questions you might have. Operator, please open the call.
Operator: Yes, thank you. [Operator Instructions] Our first question comes from Manuel Navas of D.A. Davidson. Your line is open.
Clark Wright: Hi good morning, this is Clark Wright on for Manuel. In terms of your near-term expectations for NIM expansion, what are you looking at in terms of the year-end, and then also pertaining to that, the peak NIM to the rate cycle?
Jeff Ludwig: Eric, do you want to sort of talk about...
Eric Lemke: Yes Clark, good question good morning to you. As we think about sort of our NIM, as we've done our modeling, I know we've talked in the past about our loan portfolio, and that's roughly around 55% fixed rate with the remaining being variable. However, that fixed rate, primarily if you look at our MEF portfolio, turns pretty quickly, and we're seeing higher prices there or higher pricing on new activity. So as we kind of think about the back half of the year, our modeling shows us that in an up 100 basis point environment, we basically improve our NIM somewhere between 4% and 4.5%. And so as we look up a 100, we think that translates to an additional 5 to 10 basis points of NIM through the back half of the year. In peak NIM, that's a really tough question to answer in this kind of rate environment, but we are looking for additional expansion through the back half of the year, somewhere into that range.
Clark Wright: Thank you. And then just in terms of deposit betas that are going into those assumptions? And then what kind of what do those look like as well on the other side?
Eric Lemke: Our deposit betas that we're using are somewhere in that 30% to 35% range. Now thus far, through the rate increases through the second quarter, we've been able to be below that. So we think our model - our model inputs have been conservative up until now. But I think we're kind of expecting that the betas we've seen through the second quarter will be a little bit higher through the third and the fourth as we see additional rate increases. But we're pretty comfortable with what we have in our model.
Clark Wright: Thank you, appreciate it.
Operator: Thank you [Operator Instructions] Our next question comes from Damon DelMonte of KBW. Your line is open.
Damon DelMonte: Hi, good morning, guys. Hope you're all doing well today. Just wanted to start off with the loan growth outlook I mean, obviously, two very, very strong quarters to start the year. And I think, understandably, that pace isn't sustainable through the whole year. So as you kind of look at your pipeline and you think about some of the drop-off in growth - pace of growth in the back half of the year? Can you just put a little bit more perspective around kind of where you see that settling in? Is it kind of more in the mid-single-digit range or do you think you could still stay at the double-digit level?
Jeff Ludwig: Yes, I think it's going to come in below the double-digit levels, I think, as we think about the back part of the year. I mean, our first six months have been really, really strong, and so we do think it's going to come back a little bit in the back part of this year.
Damon DelMonte: Okay. And then as far as the drivers of that, anywhere in particular that you feel more confident or - and also, are there any segments that are starting to maybe show signs of stress from the supposed recession that we're entering?
Jeff Ludwig: Maybe that we're already in.
Damon DelMonte: Maybe.
Jeff Ludwig: I think our equipment finance business, I mean, our backlog there is probably as big as it's been, and part of that is driven off of supply chain issues where customers want equipment and the equipment it's not getting to them quite yet. So there's a good backlog. So I do think we'll continue to see good growth in the equipment finance business. I think on the commercial real estate side that will slow as we get to the back part of the year. I do think we've done a nice job growing commercial real estate and just - that is just going to naturally slow. And so I think that's why I see some slowness, and I do see the equipment finance business still doing quite well through the back part of the year.
Damon DelMonte: Okay, great. And then just one last question on the loan book, the LendingPoint relationship, could you just remind us what the nature of those customers are and the size of those credits? And any kind of color on that would be great? Thanks.
Jeff Ludwig: Yes, so it's real similar to our GreenSky program - around that home improvement type of credit with high FICO type of borrowers with credit enhancements similar to our GreenSky portfolio where we have waterfall cash flows and escrow balances. So we feel really good about that credit.
Damon DelMonte: Got it, okay. And then just one final question on credit itself I mean, you noted that in the provision this quarter, you incorporated some softness in the economy. How should we think about provision going forward, something similar to this quarter's level or possibly a little bit higher if the macro trends continue to go in that direction?
Jeff Ludwig: Yes I'll give you the CEO view, right? I think similar to this quarter, we're -- and I said this in Audit Committee yesterday. I'm hopeful that our charge-offs will begin to moderate some in the back part of the year, too, which - so even if the economy - the view of the economy turns a little bit, maybe that's a little bit of a help. But those are two things that are difficult to project forward but yes, I think similar to this quarter.
Damon DelMonte: Got it, okay, I'm pulling that. Thanks a lots. Appreciate it.
Jeff Ludwig: Yes, thanks.
Operator: Thank you. Our next question comes from Terry McEvoy of Stephens Inc. Your line is open.
Terry McEvoy: Good morning everyone.
Jeff Ludwig: Good morning.
Terry McEvoy: Maybe just talk about your expectations for deposit growth and whether you think you can fund your future loan growth with more core deposits or do you think you'll have to rely on other sources of borrowings and funding?
Jeff Ludwig: Yes. So I think we've been -- I mean, we've had a really good year. We've been focused on deposits from the get-go this year. I just looked, our Community Bank group has increased deposits this year by I think, $280 million - right around $280 million. So they've done a really good job of deposits. The servicing deposits in the beginning of the year were sort of down draft, that's sort of offsetting some of that, but we're active. Our teams are real active with calling efforts. We are running some retail specials, and we did all through the second quarter. We'll continue to do that that towards the back part of the year to get ahead of where deposits may or may not go. I mean, we've seen a lot of earnings reports with banks having a decrease in deposits, and we've seen an increase. Now we did an acquisition of a branch which helped. But even taking that out, we grew deposits in the quarter and have grown deposits nicely this year. So we'll continue to be highly focused. Our loan-to-deposit ratio is in that -- right around that 90%, maybe a little higher. So we need deposits to continue to grow, and we'll continue to be focused on that. So I do think we can grow deposits in the back part of the year as well. But there's a lot of things going on in the environment that makes maybe that prediction maybe in that 60% to 70% probability phase. And then if we can't get enough, right, we'll need to find some other sources of funds, which we can do.
Terry McEvoy: Thanks for that Jeff. And then could you just remind me the size of the escrow deposits connected to the FHA business? And is that -- are those high beta relationships?
JeffLudwig: They are high beta relationships. We probably have, I don't know, $800 million, something in that range, in servicing deposits with a couple of different customers. The deposits themselves are pretty granular to properties, but they are sort of pegged to Fed funds. So they do move fairly quickly with Fed funds move. But that sort of -- and all that sort of baked into our ALCO model, which Eric talked about, our NIM -- even with that, our -- we see NIM increasing with the 100 basis point increase in rates. And we've seen it in the first half of the year.
Terry McEvoy: Okay. Thanks. And then just the last question here. Wealth management, you talked about new leadership. I guess, will there need to be some investments in that business to achieve the results that you're looking for? And you've done some acquisitions over the years within that area. Is that something that you're evaluating as well?
JeffLudwig: Yes. The acquisition side is probably on the lower end of what we're wanting to do, sort of compare this, if you will, to where our commercial banking was two years ago, where we really need to focus on building our sales and business development teams out, energizing our teams with new -- some new leadership and demonstrate to ourselves and to others that we can grow at a higher rate organically and not have the M&A sort of distractions that go on that sort of distract you from those things. And then if we can do that here in the next couple of years, I do think we can go back and look at potential acquisitions in the wealth space.
Terry McEvoy: Great. Appreciate that. Have a nice weekend guys.
JeffLudwig: Yes, thanks.
Operator: Thank you. [Operator Instructions] We have a question from Nathan Race of Piper Sandler. Your line is open.
Nathan Race: Hi guys. Good morning.
JeffLudwig: Good morning.
Nathan Race: A question on the balance sheet mix going forward. You guys continue to rotate out securities and redeploy excess liquidity on the balance sheet into loans. Is that dynamic going to continue over the next couple of quarters? And does that kind of imply like kind of a flattering asset base from here depending on deposit flows? Or how are you guys kind of thinking about what's kind of the right level of kind of cash on the balance sheet to operate with going forward at this point?
JeffLudwig: I mean, my -- it's going to -- it's not going to be materially different than what's on the balance sheet today. I think the investment portfolio is going to be relatively the same. Maybe it's down a little or up a little from here, and same with cash. So I don't think there's sort of more remixing that's going to go on.
Nathan Race: Okay. Got it. And then you guys also had nice growth in card revenue and deposit service charges versus the first quarter. And I know a lot of that's a function of some of the technology and analytics and CRM initiatives that you guys have undertaken over the last several quarters now. Is that growth kind of sustainable in the back half of this year in terms of what we saw here in the second quarter? Or is it kind of flat line from here maybe due to some seasonality in a couple of those items during the second quarter?
Jeff Ludwig: Yes. So we're doing a lot of work on the retail front to get cards in our customers' hands and encourage card usages, debit cards instead of credit card type of marketing and discussions with our customers. So I do think the trend is positive. Now you do have seasonality and all that good stuff, right? The spring hit, so you get more people out spending. Although third quarter is usually good, people out doing things, back to school and then -- so I do think the overall trend is up. Whether it's the same low, it's hard to -- it's really hard to predict some of that.
Nathan Race: Right. Understandable. Maybe just one last one on credit. Just curious if you guys could kind of discuss the criticized classified trends in the quarter outside of the one commercial real estate loan that you called out where you're not expecting a loss and just broadly how you guys are -- just what you're hearing from commercial clients in terms of sentiment, liquidity capacity and just kind of the overall character of your client base at this point, so to speak.
Jeff Ludwig: Yes. So nonperformers ticked up a little in the quarter, but our substandard capital ratio went down in the quarter. So that's a good sign. We are not -- we're seeing low -- our delinquency this quarter has been the lowest it's been in the last five quarters. So we're not -- and we're not hearing customers coming in and saying they need some type of help with their loan right now. So, so far, so good. So as I sit here today, we're not seeing any immediate credit issues.
Nathan Race: Got it. That's great to hear. I appreciate you guys taking the questions. And congrats on the great quarter. Thank you.
Jeff Ludwig: Thanks Nate.
Operator: Thank you. And we have a follow-up from Manuel Navas of D.A. Davidson. Your line is open. Mr. Navas, if your phone is on mute, please unmute your line.
Manuel Navas: Sorry about that. Can you hear me now?
Jeff Ludwig: Yes.
Operator: Loud and clear.
Manuel Navas: Perfect. Thank you. Jeff, I guess this question kind of pertains to kind of the high-level picture of the -- of your enhancing franchise value and kind of moving into St. Louis. What are you doing, and specifically the St. Louis market, as making it such an attractive area of growth for the firm?
JeffLudwig: Yes. So back in 2014, we bought a bank in St. Louis. So we've been in St. Louis for 8 years now. I'll say it wasn't early on as much of a focus of ours as we sort of -- we bought it -- we went public. A lot of energy to that, then a lot of energy to a couple of other acquisitions. And so back in early '19, we sort of made a strategic decision to stay. We've got a -- it's a good market. We need to put more executive energy leadership, build the team and start to focus on that market because we think there's a lot of opportunity there. So about 18 months ago, we made a leadership change in market. We've added a few bankers there as well and some folks on the treasury management side on the deposit gathering side as well. And like we're seeing across our whole footprint, with our sales force calling efforts, pipeline management, I think the combination of all those things has allowed us to begin to gain some good traction in St. Louis and in other markets. But St. Louis is really -- it's a good-size market. There's a lot of opportunity there, and we're seeing -- we're winning down there, which is great to see.
Manuel Navas: Thank you for the follow-up. Appreciate it. And have a great weekend.
JeffLudwig: Yes, thanks.
Operator: Thank you. And we also have a follow-up from Nathan Race of Piper Sandler. Your line is open.
Nathan Race: Sorry. My question was answered. Thank you.
Operator: Thank you. And I see that the Q&A session has ended. I would now like to turn the conference back to management for closing remarks.
Jeff Ludwig: Yes. Thanks, everybody, for joining today and look forward to seeing everybody in the third quarter. Have a good weekend.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect. Have a pleasant day, and enjoy your weekend.